Operator: Ladies and gentlemen, thank you for standing by and welcome to Alaunos Therapeutics Fourth Quarter and Full Year 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later we'll conduct a question-and-answer session and instructions will follow at that time. [Operator instructions] I'd now like to turn the call over to your host, Alex Lobo, Chair Investor Relations. You may begin.
Alex Lobo: Good afternoon and welcome to Alaunos Therapeutics fourth quarter and full year 2021 financial results conference call and audio webcast. With me today are Kevin Boyle Senior, Alaunos Therapeutics', Chief Executive Officer, Drew Deniger, Vice President of Research and Development and Mike Wong, our Vice President of Finance. Earlier this afternoon, Alaunos issued a press release announcing financial results for the three months and full year ended December 31, 2021. We encourage everyone to read today's press release, as well as the Alaunos annual report on Form 10K for the year ended December 31, 2021, which is filed this morning with the SEC. The company's press release and annual report will also be available one the Alaunos' website at Alaunos.com. In addition, this conference call is being webcast through the Investor Relations section of the company's website and will be archived there for future reference. Please note that certain information discussed on today's call is covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Participants are cautioned that this conference call contains time-sensitive information that is accurate only as of the date of this live broadcast, March 30, 2022. Actual results could differ materially from those stated or implied by forward-looking statements made today due to risks and uncertainties associated with the company's business. Information on potential risks and uncertainties are set forth in our most recent public filings with the SEC at sec.gov. The company undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this webcast, except as may be required by applicable securities law. With that said, I would like to now turn the call over to Kevin Boyle. Kevin?
Kevin Boyle: Thank you, Alex. And welcome everyone to Alaunos Therapeutics' fourth quarter and full year 2021 earnings call. It has been just over six months since I joined the company and in that time, we've made great strides advancing our novel TCRT program for the treatment of solid tumors. Our vision for the year is all about execution and delivering clinical results. I'm very proud of the team as we have made meaningful progress across both our clinical and preclinical pipeline, all the while being good stewards of capital and significantly reducing spend. I want to begin by reiterating the confidence that we have in weaponizing our TCRTs to attack solid tumors. Our team is motivated to treat patients and translate our expertise and unique scientific approach into clinical progress. We appreciate the importance of generating clinical data to validate our TCRT platform and create shareholder value. Our TCRT library study is a basket trial, targeting hotspot mutations across six solid tumor indications. Non-small cell lung cancer, colon, rectum, endometrium, pancreas, ovary and bio duct cancers. This study is an open label dose escalation study being conducted at MD Anderson Cancer Center and we'll enrol patients with one of these six cancers based on matching neo-antigen, HLA pairings that are available in our TCRT library. In December, we further amended the study's IND application to include evaluation of an additional four TCRs. Our library now has a total of 10 TCRs, four KRAS, TP53 and one EGFR. The addition to the library further increases the addressable market and pool of patients eligible for the trial. Once enrolled, patients will be infused at one of three dose levels with autologous T-cells that been engineered to express TCRs using our Sleeping Beauty transpose on technology that are reactive against such mutated neo-antigens. We believe that this adapted trial design is an optimal approach to advancing our TCRT library as it should allow us to rapidly identify the recommended dose and then cost effectively advance multiple indications in the clinic. We are one step closer towards value creation as we have consented the first patient in our study and anticipating treating our first patient in the second quarter. The manufacturing for this trial will be performed at our own state of the art CGMP manufacturing facility, which we built in 2021. This facility has been fully qualified and is staffed entirely by Alaunos' personnel for the manufacturer and release of clinical product. The current anticipated capacity in the CGMP suite this year allows for the manufacturer of approximately one product per month. Before I turn the call over to Drew Deniger, our Vice President of Research and Development for an update on our preclinical programs, I would like to thank Raffaele Baffa for his service to the company. As per our 10-K filed earlier today, Raffaele will depart his role as Chief Medical Officer effective tomorrow. His contributions over the last year to update the clinical trial design for our Phase 12 TCRT Library Study and successfully amend the IND application have helped position Alaunos for success. Raffaele remains a shareholder and firm supporter of the Alaunos TCRT platform. We wish him all the best on his future endeavors. We have engaged a consultant with over 30 years of experience in clinical and drug development, and we will also leverage the expertise of our board member, Dr. Chris Bowden. I'd like to turn the call over now to Drew, to highlight our research and development efforts. Drew?
Drew Deniger: Thank you, Kevin. Earlier this month, we announced an extension to our cooperative research and development agreement with the National Cancer Institute. This CRADA will focus on evaluating our TCRT platform in a personalized TCRT setting, targeting solid tumors. In addition to our internal efforts and those with the NCI to advance our clinical programs, we are focused on expanding our research and development efforts. One of these areas is IL-15, which is a cytokine that supports survival of T-cells in other immune cells. We have developed the co-expression of TCRs with a more potent and proprietary membrane bound. IL-15. This translates to increased survival of TCRT cells and the absence of other supporting signals, especially in T memory stem cells present in the manufactured product. We believe this has the potential to augment at TCRT cell therapy and deepen clinical responses targeting hotspot mutations expressed in solid tumors. We recently filed an international patent application around this technology, covering these developments with TCRs targeting hotspot mutations. As we work to advance this program towards an IND filing in 2023, we plan to showcase new preclinical data at a major scientific conference later this year. In addition, we also recently highlighted our human neo-antigen T-cell receptor platform or Hunter, which is our TCR discovery engine. We are focused on tumors expressing hotspot mutations and using tumor infiltrating helper and killer T-cells. We do in-depth sequencing of thousands of individual T-cells simultaneously to create a 10,000 by 20,000 matrix, which then can be reduced down to two dimensions using state of the art bioinformatics. The identified TCRs can be rapidly tested neo-antigens and added to the clinical library. It is our goal to further expand the TCR library this year and increase the addressable market for our cell therapy. I would now like to turn the call over to Mike Wong, our VP of Finance to review the financial results for the fourth quarter and full year. Mike,
Mike Wong: Thank you, Drew. Let me review our financials for the three months ended December 31, 2021. For the fourth quarter 2021, we reported a net loss of approximately $11.8 million or a $0.05 net loss per share, compared to a net loss of approximately $22.8 million or an $0.11 net loss per share for the fourth quarter 2020. Research and development expenses were approximately $8.2 million for the fourth quarter 2021 compared to approximately $14 million for the fourth quarter of 2020, a decrease of 41%. General and administrative expenses were approximately $2.1 million for the fourth quarter 2021 compared to approximately $8.8 million for the same period in 2020, a decrease of 76%. And now I will review the results for the full year ended December 31, 2021. For the full year ended December 31, we reported a net loss of approximately $78.8 million or a $0.37 net loss per share, compared to a net loss of approximately $80 million or a $0.38 net loss per share for 2020. Research and development expenses decreased by 6% to approximately $49.6 million in 2021 compared to approximately $52.7 million in the prior year. This was primarily attributable to lower program related costs as a result of the winding down of our controlled IL-12 and CAR-T programs. For the full year 2021, general and administrative expenses were approximately $27.6 million compared to approximately $27.7 million for the full year 2020, a decrease of $0.1 million. The decrease was primary attributable to reduced professional services costs. As of December 31, 2021 Alaunos had approximately $76.1 million in cash and cash equivalence. Cash burn for the full year 2021 was $61.5 million. We anticipate our cash runway to be sufficient to fund operations into the second quarter of 2023. That concludes our financial update. I would like to hand the call back over to Kevin for closing remarks.
Kevin Boyle: Thank you, Mike. Our talented and dedicated Houston based team is working hard to transform our innovative scientific research into clinical progress. Over the course of 2022, we remain focused on execution and we look forward to dosing the first patient in our Phase 1-2 TCRT library trial in the second quarter of this year. We are also working diligently to advance our membrane bound. IL-15 program towards an IND filing in 2023 and expect to present at a major scientific conference late this year. We believe that focusing on execution and delivering clinical data will result in shareholder value creation. We'll also continue to evaluate partnering opportunities for our non-core controlled. IL-12 and CAR-T assets. With the strategic restructuring completed last year, headcount has been reduced from 112 people when I arrived in August to a team of approximately 40 today. We continue to be good stewards of capital and expect operating cash flow for 2022 to be between $40 million and $45 million, a significant reduction year-over-year. Recognizing the progress that has been made last six months and as a further vote of confidence, James Wong has changed his role from Executive Chair to Chairman of the Board. I have appreciated the guidance and accessibility of James and I look forward to our continued partnership in the year ahead. The progress made would not be possible without many, and I am grateful for our team, shareholders and partners for their continued support. We will now open the call to questions. Operator Kevin?
Operator: [Operator instructions] Our first question comes from Chris Howerton with Jeffries.
Chris Howerton: Excellent. Thank you very much for taking the questions and appreciate all the progress that was detailed on the call today. I guess, maybe a high level question would be in terms of kind of clinical development plans moving forward in terms of how they were previously articulated with under the leadership of Rafael Ali and how you may anticipate that being influenced with a new CMO in the near term future? So that would be one question. The second question I would have if possible would be I note Kevin is really helpful to better understand the current kind of library that you have in terms of the TCRTs. Just curious if you could give us some indication in terms of cadence of bringing in new TCRTs, for example, to bring up additional HLA matching for EGFR for example. Thanks again for taking the questions.
Kevin Boyle: Great. Thank you, Chris. We were very pleased with the direction that Rafael Ali assisted us with, with regards to clinical development. I believe we have a very strong and unique IND now in place and clinical development plan. So I of foresee wholesale changes with regards to a change in leadership at that level. We're still very much excited and focused on accruing patients at MD Anderson in our Phase 1-2 trial and that's going to be our focus this year and pre-clinically continuing to make progress so we can enter the clinic in 2023 with our membrane bound. IL-15. So, we will continue to leverage Chris Bowden, who is a very experienced CMO and a very active board member and so we will work closely with Chris to make any adjustments or pivots as data comes in on the trial and to continue to read from a clinical standpoint. With regards to the cadence of the expansion of the TCR library, certainly it's our goal to both increase the mutations that we're going after, you highlighted EGFR in particular and we currently do have one TCR in our library that targets EGFR. This Hunter program is really exciting and we will continue to identify new TCRs through that program to qualify those TCRs and to get them added to the IND is not an insignificant progress, a process, I should say, something that will take anywhere on the order of six to 12 months. So from a cadence standpoint, knowing that we just stood up our Hunter platform having been successful in identifying TCRs over the last few months with our Hunter platform, I think it's fair to say that we would not see an expansion of TCR library until the second half of this year at the earliest.
Chris Howerton: Okay. Right. That's great. I really appreciated Kevin. And I, maybe I'll ask it anyway. I don't know if others are going to ask, so with respect to the dosing levels that you've articulated in the Phase 1-2 study, any kind of commentary you'd like to provide around the rationale of those dose levels. And I guess just as a clarification, will that be kind of constant dose levels across the different TCR constructs that a different patient might see? Thank you.
Kevin Boyle: So we did a very -- before we set the dose levels in this study, we did a very expansive review of other companies historical data, and looking at dose levels that were out there. It was our belief that we wanted to try with a higher dose level in general, a larger number of cells, because in addition to safety, which of course is critical, it was really our goal as well to reach an efficacious level with regards to dosing. We also had the unique base [ph] design to accelerate through the early stages of the dose levels, Chris, and get to, again, a place where we believe we'll have a greater chance of efficacy. After all, the reason that we're doing this is to treat cancer patients. We want to make a difference in their lives, and we are so motivated to do that. And so, as a result, we really want to have a product that is both safe and efficacious. And with regards to dose levels, that's how we came up with the dose range that we have working very closely with our PIs as well over at MD Anderson. And at this point we would anticipate, regardless of the indication that we're targeting the same dose level that we would have in the trial. So we feel very comfortable with that, and we'll learn from it as well. As we know this Phase 1, we will learn from and as we identify that Phase 2 dose level or Phase 1B dose, the optimum dose level it might be different depending on indications. That's the learning we'll get from this Phase 1 trial.
Chris Howerton: Okay. Thank you for all the exciting -- yeah, no, I'm sorry. Sorry to interrupt. Excuse me.
Kevin Boyle: No, no. Great, Chris, thank you. Appreciate your interest.
Operator: Our next question comes from Arthur He with HC Wainwright & Co.
Arthur He: Hey, good morning, everyone. This is Arthur He for RK and congratulations on the progress this quarter. Maybe I just want to follow up on the expansion of the TCR mutation. So my understanding is you guys are flexible to including more additional mutation into the current trial to expand that library instead of launching another different additional study. Is that correct?
Kevin Boyle: I'll pass that to Drew. Yeah,
Drew Deniger: That is correct.
Arthur He: Awesome. And regarding the agreement with the National Cancer Institute, could you guys give more color on the extension of the agreement and if that applied to the personal TCR with the institution? Any commentary I appreciate it. Thank you.
Kevin Boyle: Yeah. So with the NCI, that is going to be our partner for personalized TCRT. So we will be doing -- our approach will be using the library approach, but the personalized TCRT approach is what our partnership with the NCI will be doing. And we will be coming out later this year with more specific details around that. As you're aware, the NCI just reactivated these trials. So we'll be, as we continue our relationship and have some more time pass, we'll be able to communicate more broadly with our investors about that specific trial and we'll look forward to providing updates further in -- later in this year.
Arthur He: All right, sounds great. Thanks, Kevin. Yep.
Operator: Our next question comes from Thomas Flaten with Lake Street Capital.
Thomas Flaten: Hey, good morning guys. Thanks for taking the question. Kevin, I just want to make sure I heard you correctly in the prepared comments around one product per month. Can I read that as from a manufacturing perspective, can I read that as one patient per month is kind of the theoretical max at this point from an enrolment perspective, how should we think about out study pacing or enrolment pacing with respective manufacturing capacity?
Kevin Boyle: That's a great question and you did read the words correctly in the sense that that's our capacity. I think it's very unlikely that you end up seeing a patient a month that that could be done, but life happens, not many patients that are ill, no matter how ill they are going to want to be infused. Let's say between Thanksgiving and the Christmas holidays, they want to be spending time with their families, with for what might be their last holidays. There's insurance and scheduling and other things. So it'll be our best and it's our goal to as safely and quickly enrol patients that are appropriate for this trial. But we will also be working in our GMP suite advancing the preclinical program with IL-15. So there will be other products. So what I would say is we anticipate a full 100% utilization in our GMP suite throughout the year, but I think it would be unreal to presume that we would have a patient a month. That's just not typically how it enrols. So we don't have specific guidance at this time, but knowing that we will be continuing to progress through things both pre clinically and doing other activities in our GMP suite, we do not anticipate a patient per month at this point, but we we'll just have to see how enrolment proceeds
Thomas Flaten: And then with respect, so given that, and I know we had talked previously about there perhaps being the opportunity for data from the initial patients in 2022, is that still feasible, and do you see that being only in the context of a scientific meeting or is that -- would you have some other way of releasing that data to the investment community?
Kevin Boyle: Well, certainly there's multiple ways, but I think the most credible way and the most likely way is that a scientific conference we've spoken before a possibility about a ESMO in September being an appropriate conference, depending on the patients that we enrol, there might be an indication specific conference that would be appropriate. So I think we'll just play it by year. We'll work closely with our PIs as well to find the appropriate forum and we'll be in touch with investors appropriately about where we'll be present that data.
Thomas Flaten: Excellent. Thanks for taking the questions.
Operator: [Operator instructions] Our next question comes from Yale Jen with Laidlaw and Company.
Yale Jen: Good morning. And thanks for taking the questions and congrats for the progress. The first question is that the first consented patient, could you give us a little bit more color in terms of what type of tumor he or she has?
Kevin Boyle: I would love to Yale and thank you for your interest. We will communicate information at a later point with regards to that specific patient after we treat that patient and wait for the appropriate safety period would be the time that we will end up communicating with our investors and with the street with more information about that patient.
Yale Jen: Two quick ones to follow; the first one is that how many types of [indiscernible] so far you have in that 10 library prospect at this moment?
Kevin Boyle: That's a good question. And one thing I want to point you to is that we do have on our website and in the corporate deck a list of all 10 of the TCRs that are currently in our library on Slide 11 of that. So if you look there and I'll let Drew answer the HLA question, but just do refer that we have tried to be transparent with our shareholders in that regard, but Drew.
Drew Deniger: Yeah, it's eight different HLAs for our 11 TCRs, excuse me, 10 TCRs. I misspoke, 10 TCRs.
Yale Jen: Great. Thanks a lot. And maybe the last question here is that your lowest dose is 5 billion cells. Should we consider that could generate potentially generate efficacy signal or simply that just for the safety reason, you want to have a lower dose thanks for taking the questions.
Kevin Boyle: No, thank you, Yale. I think it's quite typical that we're focused on safety at first to make sure that we have a product that's safe as we're infusing it for the first time. We would feel quite blessed if there ends up being any kind of efficacy signal. And certainly wouldn't mind that for both the patient's sake and for ours. But at this point is any Phase 1 trial, the primary focus is on having a safe product inside of the human.
Yale Jen: Okay, great. Thanks a lot. Again, congrats on the progress.
Kevin Boyle: Yeah. Thank you. Appreciate your continued interest. End of Q&A
Operator: Not showing any further questions at this time. And this also does conclude the presentation for today. Everyone may now disconnect and have a wonderful day.